Operator: Welcome to the Dominion Energy Fourth Quarter 2024 Earnings Conference Call. [Operator Instructions] I would now like to turn the call over to David McFarland, Vice President, Investor Relations and Treasurer.
David McFarland: Good morning, and thank you for joining Dominion Energy's Fourth Quarter 2024 Earnings Call. Earnings materials, including today's prepared remarks contain forward-looking statements and estimates that are subject to various risks and uncertainties. Please refer to our SEC filings, including our most recent annual report on Form 10-K and our quarterly reports on Form 10-Q for a discussion of factors that may cause results to differ from management's estimates and expectations. This morning, we will discuss some measures of our company's performance that differ from those recognized by GAAP. Reconciliation of our non-GAAP measures to the most directly comparable GAAP financial measures, which we can calculate are contained in the earnings release kit. I encourage you to visit our Investor Relations website to review webcast slides as well as the earnings release kit. Joining today's call are Bob Blue, Chair, President and Chief Executive Officer; Steven Ridge, Executive Vice President and Chief Financial Officer; and Diane Leopold, Executive Vice President and Chief Operating Officer. I will now turn the call over to Bob.
Robert Blue: Thanks, David. Good morning. Almost a year ago, we concluded the comprehensive business review and described 5 key tenets upon which the repositioned Dominion Energy would be premised. Strategic simplicity, consistent long-term financial execution, balance sheet conservatism, dividend security and the delivery of an exceptional customer experience that would enable us to advocate for and achieve balanced policy constructs and reasonable regulatory outcomes. You heard from me and directly from members of the Board that we would collectively be accountable for the company's future performance. Finally, we committed to being 100% focused on successfully executing against our updated plan. Now a year on, none of that has changed. Those commitments are as equally fundamental to our company today as they were 12 months ago. We know that to rebuild your trust, we must deliver consistently over the long run. While we're still relatively early in this new chapter of our company, we're off to a positive start. Looking back at 2024, we accomplished operating earnings per share in the top half of our guidance range despite weather headwinds. A remarkable storm restoration effort in South Carolina in the aftermath of Hurricane Helene, one of the region's most destructive storms ever. regulatory outcomes in South Carolina and North Carolina base rate cases as well as a number of Virginia rider cases that demonstrate our ability to work cooperatively with regulators and stakeholders to deliver results that benefit both customers and shareholders. And significant derisking of the Coastal Virginia offshore wind project through both the continued on-time achievement of major milestones as well as the closing of a 50% noncontrolling equity financing through which we've materially reduced project risk for our shareholders. I'll share more perspectives on CVOW a little later in our prepared remarks. We did all of this while achieving a near record-setting employee safety performance and advancing our all of the above strategy to reliably and affordably meet our customers' rapidly expanding energy demand, which includes the largest data center cluster in the world. Let me now turn it over to Steven to provide a financial update before I walk through additional updates on the execution of our plan.
Steven Ridge: Thank you, Bob, and thanks to everyone for joining today's call. As shown on Slide 5, full year 2024 operating earnings were $2.77 per share in the top half of our guidance range despite $0.03 of worse than normal weather. Full year 2024 GAAP earnings were $2.44 per share. Our fourth quarter operating earnings were $0.58 per share, which for this quarter represented normal weather in our utility service areas. Fourth quarter GAAP earnings were $0.15 per share. As always, a summary of all drivers for earnings relative to the prior period is included in Schedule 4 of the Earnings Release kit and a summary of all adjustments between operating and GAAP results are included in Schedule 2. Next on earnings guidance, we've narrowed 2025 operating earnings per share guidance to $3.28 to $3.52 per share, inclusive of RNG 45Z credit income while preserving the original midpoint of $3.40. We provide a range to primarily account for variation from normal weather. We're reaffirming annual operating earnings growth guidance of 5% to 7% through 2029 up to 2025 midpoint of $3.30, which excludes the impact of RNG 45Z credit income due to the legislative sunset of that credit at the end of 2027. As a reminder, we continue to expect to see variation within that range as a result of the Millstone refueling cadence, which requires a second planned outage once every third year. We're also reaffirming our previous guidance related to the dividend. We expect to maintain the current dividend level of $2.67 per share annually until such time as we achieve a utility industry-aligned payout ratio. Turning now to capital investment. We've updated our 5-year capital forecast from 2025 through 2029 to $50 billion, an increase of 16% from our prior guidance. We're seeing the need for incremental investment across distribution, transmission and generation to ensure reliability amid continuing growing demand in our service areas. Consistent with our increased focus on transparency, we provided comprehensive and detailed disclosure in the appendix of today's materials. So I'll just hit 2 takeaways here. First, approximately 80% of the capital increase is at Dominion Energy Virginia driven by higher transmission, distribution and nuclear subsequent license renewal spend. And second, 60% of the updated capital spend will be eligible for recovery subject to regulatory approval under rider mechanisms. This is an exciting update, and we're confident in our ability to execute for the benefit of our customers. Outside of today's forecast, we continue to see opportunities for additional investment across the value chain, biased towards the end of the decade and beyond. We'll include those opportunities in future updates as warranted by their development status. Before I discuss our financing plan update, I'll affirm our commitment to balance sheet conservatism as demonstrated on Slide 7. Through the 5-year plan, we expect our parent leverage to be consistently below 30% and our FFO to debt to be approximately 15%. Finally, we target mid BBB range credit ratings for our parent company and single A range ratings for our regulated operating companies. No change there. Our long-standing focus on achieving and maintaining these ratings is important for our ability to continue to secure a low cost of capital for our customers. Now turning to the financing plan on Slide 8. We're providing a 5-year illustrative sources and uses, meaningful operating cash flows, combined with a balanced mix of external financing, satisfy our capital investment and dividend forecasts. Since the last update, we are modestly increasing external financing across debt, hybrid and equity issuance. Specifically on equity, you'll note on Slide 9, an increase in 2025. As of today, we've already sold $600 million through forward-settled sales under our existing ATM program, expect to issue $200 million throughout the year through DRIP programs and expect to satisfy the balance of the approximately $300 million need through the ATM. Beyond 2025, there have been no changes to our common equity issuance guidance. We view this level of steady equity issuance under existing programs in the context of our sizable growth capital spending program as appropriate to keep our consolidated credit metrics within the guidelines for our strong credit ratings category. Before I hand it back to Bob, I'll note that we're pleased with our 2024 financial performance, but it's really all about how we execute going forward. Since the March 1 meeting, we've seen tailwinds like increased regulated capital investment opportunities, and we've seen headwinds like higher interest rates. But what hasn't changed is our confidence in the plan, which has been built to be appropriately but also not unreasonably conservative. And with that, I'll turn it back to Bob.
Robert Blue: Turning to safety performance and affordability on Slide 10. We achieved near-record setting safety performance in 2024 as measured by our employee OSHA injury recordable rate. On affordability, our rates continue to be lower than national and regional averages. We're intently focused on ensuring our service isn't just reliable, but that it remains appropriately affordable as well. Next on our Coastal Virginia Offshore Wind project. We provided several updates last week, but I'd like to start with a few project highlights on Slide 11. First, the project is 50% complete and on schedule for completion in 2026. Second, CVOW is supported by Virginia law and approved by the State Corporation Commission and federal agencies. Third, CVOW will provide much-needed new generation to support America's AI and cyber preeminence in the largest data center market in the world. Additionally, the project represents the fastest and most economical way to deliver 2.6 gigawatts of supply to Virginia's Grid. And finally, CVOW has created approximately 2,000 direct and indirect American jobs and generated $2 billion in American economic activity. In addition to having the robust bipartisan support of Virginia's state and federal elective leaders. In summary, this project is consistent with the goal of securing American energy dominance and is part of a comprehensive all-of-the-above energy strategy to affordably meet growing energy needs. Next, on recent construction progress and milestones. In 2024, we completed a very successful first monopile installation season. And work has continued this winter on export cableway as well as transition pieces and in the coming days offshore substation installation. As shown on Slide 12, we began installation of transition pieces on December 31 and have since completed installation of 20 in total. The first offshore substation jacket and topside were delivered to Portsmouth at the end of January and will begin installation later this month. The remaining 2 offshore substations are on track to be delivered this summer and installed in the fall after completion of monopile season in October. Our materials and equipment, thus far, 130 monopiles have been loaded out with 116 successfully delivered and 14 more in transit to Virginia presently. Approximately 75% of the projects monopiles are either installed or awaiting installation. Our partner, EEW, continues to make strong progress, and we expect deliveries to continue steadily in the coming weeks. Out of the project's 176 transition pieces all have been rolled. Of these 152 have been successfully steel-welded and of these, 91 have been completed, representing over 50% of the total. We expect the final transition piece to be completed in October. Additionally, the schedule for the manufacturing of our turbines remains on track. As a reminder, Siemens Gamesa, the project's wind turbine supplier is manufacturing the same turbine model for CVOW as has been successfully fabricated, installed and is now operating at the Moray West Offshore Wind project. 8 towers have been completed with an additional 31 in progress. Blade fabrication is now underway and we expect sell production to begin next month. Turning to regulatory. We made our quarterly offshore wind construction update filing on February 3 accompanied by a detailed explanation of the change in project costs from $9.8 billion to $10.7 billion. Let me share a few thoughts here. First, as you would expect, the cost increase is disappointing. We take great pride as an organization and delivering on time and on budget. Since the original cost submission 40 months ago, we've spared no effort institutionally to maintain fidelity to our original estimate. Ultimately, despite having about $300 million budgeted for network upgrades, which was more than sufficient based on PJM's initial estimates, that estimate has proved too low. New electric generation resources constructed within PJM regardless of their generation type, our signed cost by PJM that are deemed necessary to effectively integrate these resources and ensure the reliability and stability of the electric grid. Higher network upgrade cost estimates by PJM reflect the significant increase in demand growth that requires incremental generation transmission resources across the system. I think it warrants noting that the aggregate cost for other project inputs, including offshore scope have remained in line with the original budget. Second, network upgrades do not impact project construction or time line and represented the largest unfixed project cost by far. We now have a much clearer though not final view of those costs. Further, we've refreshed contingency to represent 5% of remaining project costs. Third, cost sharing and risk sharing is working as intended to protect customers and shareholders. As a result of the cost-sharing settlement approved by Virginia regulators,  the project cost update is expected to increase residential customer bills by an average of $0.43 per month over the life of the project. And the updated LCOE continues to benchmark very favorably with new generation alternatives, including solar, battery and gas-fired generation. CVOW remains one of the most affordable sources of energy for our customers. Of the $900 million cost increase, 80% or $700 million is expected to be recovered via rider and added to rate base subject to regulatory approval. 50% of the nonrecoverable portion of the increase will be borne by Stonepeak rather than Dominion Energy shareholders. Finally, I know investors are very focused on the probability of future cost increases. I recognize the critical importance of executing against any guidance offered. The project is on time, and we're committed to delivering it in line with the now updated cost estimate. We don't have perfect insight into the information that PJM will use to finalize costs by midyear, but we've done a significant amount of analysis around the most recent estimate, which informs our updated cost estimate. I am confident in our updated estimate and believe that if there is a revision up or down, with respect to PJM network upgrades come July, it would not be of a similar magnitude. Finally, a few updates on Charybdis, as shown on Slide 16. The vessel is 96% complete, up from 93% as of our last earnings call, and sea trials are underway. What we're showing there is a picture of the 30,000 ton vessel fully jacked to its full height of almost 400 feet. We continue to expect Charybdis to complete fee trials in early 2025, consistent with our previous schedule and be delivered to CVOW in the third quarter. There's also no change to the vessel's cost of $715 million. Turning now to data centers. We continue to see exciting developments here. So let me share a few updates. First, where things stand today. Virginia hosts the largest data center concentration in the world by far. Since we started tracking, we've connected approximately 450 data centers representing nearly 9 gigawatts of capacity. Data center sales today represent about 26% of total sales for DEV. Data centers are attracted to Virginia by connections to world-class fiber networks, Virginia's attractive business climate, availability of a trained workforce, and access to our affordable, reliable and increasingly clean energy. In recent years to address this demand, we've advanced electric transmission projects to bring both new and upgraded infrastructure to enable continued connection and expansion of data center customers in Eastern Loudoun County, Virginia. This work has included reconductoring lines, expanding substation infrastructure as well as building a 500 kV transmission line that we expect to complete on schedule by the end of 2025. Further, just last week, the SEC approved another 500 kV line in the Eastern Loudoun County that we expect to be in service by year-end 2027, and that will allow us to stay ahead of the region's rapidly growing electricity needs. Second, where do we go from here? The PJM DOM zone is experiencing unprecedented load growth. This growth is accelerating in orders of magnitude driven by: one, the number of data centers requesting to be connected on to our system; two, the size of each facility; and three, the acceleration of each facility's ramp schedule to reach full capacity. For some context, as shown on Slide 17, PJM recently updated its DOM zone Forecast, but now projects peak summer load growth of approximately 6.3% per year for the next 10 years. To put that into perspective, the resulting peak load projected for 2034 has increased from 26.1 gigawatts as of the 2022 PJM estimate to 41.5 gigawatts as of this year's estimate, an increase of nearly 60%. Last year, we implemented changes to our process on how we handle new delivery point requests on our system. This change will allow us to organize load requests into batches and serve them in the order they are received. Since we began communicating these changes, we've seen an increase in demand from customers. As shown on Slide 18, we've updated our data center contracted capacity. We now have approximately 40 gigawatts in various stages of contracting as of December 2024, which compares to around 21 gigawatts as of July 2024, an increase of 19 gigawatts or 88%. As a reminder, these contracts are broken into: one, substation engineering letters of authorization; two, construction letters of authorization; and three, electrical service agreements. As customers move from 1 to 3, the cost commitment and obligation by the customer increases. We're currently studying over 26 gigawatts of data center demand within the substation engineering letters of authorization stage, which means a customer has requested the company to begin the necessary engineering for new infrastructure required to serve the customer. This compares to approximately 8 gigawatts as of July 2024 and represents a remarkable 245% increase. We've analyzed the data several ways. And certainly, we believe some of this growth is attributable to the new batch system, which naturally incents customers to get into the process early. But what's undeniable is that data center growth in Virginia is not slowing down. In fact, it's accelerating, and we're taking every step to meet this opportunity. There are also about 5 gigawatts of data center demand that have executed construction letters of authorization, which are contracts that enable construction of the required distribution and substation electric infrastructure to begin. Should a customer in this stage elect to discontinue a project, they're obligated to reimburse the company for its investment to date. Finally, the nearly 9 gigawatts included in electrical service agreements, or ESA, represent contracts for electric service between Dominion Energy and customer. This has increased by nearly 1 gigawatt since July of 2024. Each contract is structured for an individual account. By signing an ESA, the customer is committing to consume a certain level of electricity annually, often with ramp schedules where the contracted usage grows over time. As Steven mentioned, this is all evidence of opportunities for additional investment across the value chain for many years to come. Turning to Slide 19. Let me highlight a couple of additional business updates. First, an update on our transmission business and the joint planning agreement with AEP and FirstEnergy. A package of our own and jointly proposed projects has been shortlisted by PJM in their open window process, which is ongoing with final approvals expected this month. Dominion share of the joint planning agreement will lead to approximately $1 billion of incremental capital spend in the 5-year plan. When combined with our other DEV transmission projects, this will result in annual transmission capital spend of greater than $2.8 billion beginning in 2027, above the $2.5 billion we are -- previously forecasted. Next, in South Carolina, policymakers are in session and continue to evaluate potential energy legislation. We're appreciative of the significant time spent to date by the legislature on this important topic. As we've indicated in the past, we're committed to supporting South Carolina's growing economy. However, as we've testified, the regulatory framework for DESC creates regulatory lag that makes it practically impossible to earn our lab return, especially as compared to neighboring southeastern regulated jurisdictions, including Virginia. Finally, on Millstone. The facility provides over 90% of Connecticut's carbon-free electricity and 55% of its output is under a fixed price contract through late 2029.  The remaining output continues to be significantly derisked by our hedging program, which we've updated in the appendix of today's materials. During 2024, Millstone performed well and achieved a capacity factor of 92%, aligning with our expectations of exemplary performance and reflecting our unwavering commitment to safety and best-in-class operations. As many of you are aware, there's been recent legislative activity in New England and in Massachusetts specifically, aimed at authorizing future additional procurements of nuclear power, and we've continued to engage with multiple parties there to find the best value for Millstone. In addition to state sponsor procurement, we continue to evaluate the prospect of supporting incremental data center activity as well. We feel strongly that any data center option needs to be pursued in a collaborative fashion with stakeholders in Connecticut. At this point, we don't have a time line for potential announcements. We remain focused, and we'll continue to provide updates as things develop. With that, let me summarize our remarks on Slide 20. We  achieved near-record setting safety performance this year. We reaffirmed our long-term operating earnings per share growth rate, credit and dividend guidance for March 1 and narrowed our 2025 operating earnings guidance range. CVOW remains on schedule with robust cost sharing that protects customers and shareholders. In collaboration with our policymakers, regulators and stakeholders, we continue to make the necessary investments to provide the reliable, affordable and increasingly clean energy that powers our customers every day. And we're 100% focused on execution. We know we must continue to deliver, and we will. With that, we're ready to take your questions.
Operator: [Operator Instructions] We'll take our first question from Shar Pourreza of Guggenheim Partners.
Shahriar Pourreza: Bob, just on CVOW, just I guess in light of the updates earlier this month, maybe can you just elaborate on the remaining variability in the projects, if there were delays in supplier component deliveries, how flexible the schedule, how would the standby cost be recovered with suppliers pay. And any new color on how you're thinking about incremental wind projects in light of your experience on CVOW 1 to date and the prospects for policy and tariff headwinds from D.C.
Robert Blue: Yes, Shar, you've got a lot in there, all in one question. So let me see if I can work my way through the various pieces. And I'll ask Diane to talk a little bit about sort of where we are on the project and derisking. So we're in a very good position with this project, and we feel very confident about the estimates that we just gave. Understanding there's more data to come from PJM on network upgrades, but we've done a lot of work with the best data that we can. So far, the data that we've used seems to be consistent with what PJM is looking at. And we think it puts us in a pretty good position. Let me talk a little bit about tariffs because you mentioned that, and then I'll turn it over to Diane to just talk about overall sort of derisking on the project. It's really too early to say how potential tariffs might affect this project. I can tell you that remaining spend outside of the United States is about $2.5 billion, majority of that from Europe. Only a portion of that for components that would include steel or aluminum. With respect to potential steel and aluminum tariffs, in particular, generally, these types of tariffs are not intended to apply to most finished products. We would consider the CVOW components to be finished products. That said, we don't have the annexes to accompany the executive order. We can't know what if any of our remaining spend would be potentially subject to tariffs. These are finished products that include some steel, some other materials. So it's not as simple as just taking a contract value and applying a percentage. For example, the cells have thousands of components in the blades. As most people know, don't have steel or aluminum in them. If the steel and aluminum tariffs end up taking effect, it won't be before March 12, so we should get some better insight before then the past may not be a predictor of the future, but if these tariffs follow the form of those imposed in 2018, they largely wouldn't apply to CVOW at all. And then finally, and Diane will talk sort of about how we're doing on derisking the project, but it's worth remembering we have $200 million of contingency within the current project budget of $10.7 billion. up to $11.3 billion, 50% of costs are recoverable from customers and costs are shared 50-50 with Stonepeak. Diane, you want to talk a little bit about sort of where we are in the development.
Diane Leopold: Sure. Shar. So when I think about the risk, first, I kind of look at where we are, all of our permits are in hand, all of the materials have been purchased. We have fixed-price contracts for all the major equipment. Fabrication is going very well. Fabrication is going very well. All the deliveries of that fabricated equipment is right on time, and the installation activities have been moving forward on track. So when I kind of look at the performance of the suppliers, as we're progressing now that we're 50% complete, risks are naturally continuing to decrease. So just take as an example [indiscernible] with the vessel and installation logistics as we saw in the first piling season, we kind of got better and better and got to 25 monopiles a month kind of as a run rate. And as we've seen this winter, the transition piece installation and the cable installation is just going right on track. So when I look at what costs are still unfixed, we've talked about the final estimate that we're feeling good about on PJM. There's fuel for all the vessels and there's project management. So we need to complete fabrication, that's going very well. We need normal weather. And so we're feeling really comfortable where we are and where the suppliers have been performing.
Robert Blue: Shar, I'll jump back in. You also mentioned future projects. I don't think it will come as a surprise to you that we are very focused on this project and bringing it in consistent with the schedule and budget that we've been talking about. We've got a couple of other leases. We have no capital in the plan associated with those leases and we'll just sort of see where things go in the future. But our focus is on this project. Did we get all the pieces and parts you had in there, Shar, or is there anything we missed?
Shahriar Pourreza: No, that was fantastic. I'll actually -- I'll leave it at that with my 20-part question. I appreciate it, guys.
Robert Blue: Thank you.
Operator: We'll take our next question from Nicholas Campanella of Barclays.
Nicholas Campanella: So I just -- the updated gigawatts on the data center side is just a really large number. And I'm just kind of curious, I just want to first confirm, this is incremental to what PJM has kind of put out here in the beginning of the year. And then secondly, just -- how do you kind of think about the time line to kind of wrap some of that into the plan in the current decade? And is there like a sensitivity we should be thinking about for every gigawatt of new data center hook up? Is there an amount CapEx whether it's transmission or generation that would be required for that?
Robert Blue: Yes. Nick, on sort of is that in PJM, now those gigawatts that are in the substation engineering phase. Those are not in the PJM forecast. There is no sort of rule of thumb on any particular amount of gigawatts and sort of the capital plan and so forth. I think it's just important for everyone to understand that the data center demand in Virginia, in Northern Virginia and in Loudon County continues to be very significant. You see that in the numbers there. Just to give you a sense, I know there are some folks who may have some misunderstanding about Loudon in particular, about how much more capacity is available there. If you just look at the transmission projects that we're working on, including the two 500 KV lines that we mentioned in our prepared remarks, that's an additional 6 gigawatts of capacity in Eastern Loudon alone. So there's room in Eastern Loudon on the system, and the data centers continue to expand as well sort of outward from Loudon County, particularly into neighboring counties coming down Interstate 95. There's also data center expansion happening in the Richmond Metro area pretty substantially. So that demand just keeps coming. We're very focused on making sure we can serve it and we want to do that in a way that's consistent with our mission of reliable, affordable, increasingly clean energy.
Nicholas Campanella: I appreciate that. And then just kind of expanding on your comments from Millstone and the prospects for any type of incremental large customer for that remaining non-fixed portion? Just there seems to be a lot of focus on additionality if it comes with colocation in any form. And just maybe you can kind of comment on whether that's something that you think you would need to move forward with the contract opportunity there? Or what's the next kind of catalyst we should be kind of watching for to know that this is potentially going in the right direction.
Robert Blue: I can't give you a catalyst for what you should be looking for. As we've said, there's not a time line on this. From the potential large user customers we've talked to, additionality is not essential. They certainly talk about it, but they don't -- that's not a gating item -- so we're going to keep talking to potential data center co-locator customers to the states of Massachusetts and Connecticut, others in New England. And we're going to continue to stick with what we said pretty clearly is we need to make sure we're taking into account the interests of stakeholders in Connecticut as we think about this very valuable asset.
Operator: We'll take our next question from Jeremy Tonet of JPMorgan.
Jeremy Tonet: I just wanted to dive into the Virginia data center opportunity a little bit more in quite the step-up as you outlined there. Just wondering if you could touch a bit more on reactions from stakeholders and really just thinking about this low driving incremental bill pressure and thoughts about, I guess, bill headroom in general here.
Robert Blue: Yes. Great question, Jeremy. Policymakers in Virginia are very focused on data center build out because they see the economic benefits of it. And you can see it in localities where there already is a substantial amount of data center load. The tax bills, property tax bills and say, Loudon County are substantially lower than they would have to be without the tax revenue that's coming in from data centers. And so that part of the economy and making Virginia a tech hub is really important to stakeholders in Virginia, particularly to Governor Youngkin, he talks about that quite a bit. So there is an interest in continuing to see data center expansion. As there are more megawatt hours sold to data centers, then that spreads the total costs out over a larger group of customers and can actually help with customer bill headroom. And I know there's often a discussion about sort of our data centers paying their fair share, is our other customer classes subsidizing data centers. These kinds of debates about one customer class, subsidizing another customer class have been going on since the beginning of utility regulation. There are ways always to address that in Virginia, particularly with biennial reviews. So I suspect that in the biennial that we'll file in March that this issue will be considered by the commission. And I'm confident that they'll make a decision that ensures we can continue data center growth in Virginia in a way that is -- that works for all customers of Virginia. This is just good for the economy of Virginia, and it's important to keep it going.
Jeremy Tonet: Got it. That's helpful there. And I want to continue with the biannual, if we could, just wondering on overall engagement with stakeholders there and besides affordability, as you outlined there, any key issues to hash out here? Just trying to think about how we should be thinking about Virginia regulatory sausage making at this point?
Robert Blue: We're going to focus on just filing a pretty straightforward rate case in Virginia. As I expect many people know, in the last biennial there were sort of prescribed ROE. That is not the case in this one. We've got a couple of new judges on the SCC, relatively new. They're a little less than a year, they've been on the bench. But -- when we think about our positioning in a rate case, we start with our reliability and our affordability, and they're both incredibly strong in Virginia. We are well recognized among stakeholders as being a very reliable provider of electricity. And our rates, as we mentioned in our prepared remarks, continue to be below regional and national averages. So we're in a strong position. The sort of general environment going into the case, I think, is very constructive and we'll have a result by the end of November. But I would not -- there's nothing particularly exotic in this upcoming biennial.
Operator: We'll take our next question from David Arcaro of Morgan Stanley.
David Arcaro: Let me see. I had a question on the offshore wind side of things. With the earlier this year, the executive order around offshore wind and the Secretary of the Interior reviewing existing projects. I was just wondering your interpretation and a few points on what that could mean for existing leases like CVOW?
Robert Blue: Yes. We don't think there's going to be impact to CVOW from the executive order. If you think about it, it's got all the permits it needs, including all of its federal permits. It's consistent with some very important energy objectives that the administration has articulated. It's an important part of an all of the above strategy to deliver more power to a growing economy in Virginia. It's certainly the fastest and most economical way to deliver 2.6 gigawatts to the grid, stopping it would be the most inflationary action that could be taken with respect to Energy in Virginia. It's homegrown. It helps promote American energy dominance. It's needed to power that growing data center market we've been talking about critical to continuing U.S. superiority in AI and technology. It's creating American Jobs 2000 at last count. It's specifically authorized by Virginia law. It has robust bipartisan support of leaders in Virginia. Worth noting that in his confirmation hearing, Secretary Bergum, said projects that make sense and are already in law will continue and CVOW definitely fits that bill.
David Arcaro: Okay. Excellent. I appreciate that commentary. And then I was also curious on the data center side of things, just to dig in a little bit more -- obviously, your pipeline has grown a huge amount over the last 6 months. And then when we look at the PJM forecast for the 2034 forecast, they've only gone up a little bit. Do those numbers have to rise from here? Or are there constraints in actually connecting all of these data centers or something else that's making you think that not all of these are actually going to crystallize and come to your system.
Robert Blue: Well, I think if you look at what we're planning for, what we've got capital for we're highly confident that the data centers are going to show up in our system. I mean if you think about it, we've been serving data center customers longer than anybody else. We understand better than other companies, I believe, the way they build the way, they ramp up and we understand extremely well sort of a confidence level in their arrival. So the new batch system may have had some effect on the number of customers who have sort of jumped into that substation engineering letters of authorization group. But the bottom line is there is a lot of growth coming in data centers in Virginia, and we're building the infrastructure in order to serve them.
Steven Ridge: David, I'll just add [indiscernible] Back on Slide 17, where you see that PGM forecast 2034, summer peak of 41.5%. We we would suggest that the increase we've seen in our Q is not fully reflected in that PJM update, it's a little bit backward looking. And to Bob's point, and to your question, will all of the amount that we're seeing in that first phase, ultimately convert. We don't know for sure. Many of them do in the past. And as we've moved further from down the column, we've seen increasing conversion rates up to 100% from the second to the third bucket. So again, I think it's a sign, a bullish sign. Will all of it ultimately convert. We don't know. We think a lot of it will, and that to us is a bullish sign of the ability to continue to invest across the value chain, in support of those customers in a low-risk regulated environment.
Operator: We'll move next to Anthony Crowdell of Mizuho.
Anthony Crowdell: Just super quick one question following David. When I look at the column on Page 18, is there just a rule of thumb of how long it takes a project to transition from one category to next as it works itself down the chain?
Steven Ridge: Well, we gave some updated guidance to our customers. As you recall, we've talked about, which was moving from a cereal to more of a cluster or a batch approach. And when we did that, we gave indications that from the time you sort of started the process to the potential time where you're signing the ESA and taking delivery of power that, that period would be extended by somewhere between 12 and 36 months, which puts us at speed to market of between 4 to 7 years. 26 gigawatts, that's all in very different phases and probably time lines, don't have specific guidance for you as to how to translate the 26 into the CLOA box or the ESA box. But again, from sort of the very beginning of the process typically to the very end of the process, think of 4 to 7 years. With this much demand, could that possibly pressure that? It's all going to sort of depend on where the specific project wants to be cited and where we have existing delivery points. So not real -- I don't have a real specific guidance for you, Anthony. I apologize, but it's all pretty bespoke depending on where the need is.
Anthony Crowdell: No, that's perfect. And thanks so much for the update. I appreciate it. Thank you.
Steven Ridge: Thanks.
Operator: Our next question is from David Paz of Wolfe.
David Paz: Just quickly on the -- on your assumption for earned returns in your outlook. Are you projecting any lag over the period? And maybe how much lag and if you can break it down by Virginia and South Carolina, that would be great.
Steven Ridge: Yes. David, we haven't given that sort of specific level of guidance as we go into periodic rate cases and we engage with stakeholders. But I think what we've said in the past has been that at DEV, in particular, where we've got a fairly significant amount of investment in riders, which generally earn at their allowed. We see pretty good ability to achieve allowed returns in 2023, our annual information filing, if you adjust for a handful of items, whether some amortization of fossil retirements that we needed to take, we were -- we are hitting on the base side of the business at pretty close to our allowed and expect that to sort of continue. And then in South Carolina, I think what we've indicated in testimony is that under the existing rate case process that by the time new rates go into effect, given its backward-looking nature, we could be anywhere between 80 and 90 basis points is under earning immediately when rates go into effect. And we've quantified, I think, 100 to 200 basis points on average of under earning during the rate case cycle. And as Bob mentioned in his prepared remarks, we've made that a point of focus. And in our discussions with stakeholders in South Carolina. And our excitement about supporting the needs of the growth -- needs for growth in the state but also a discussion about the ability for us to earn a return that's closer to our allowed. So Obviously, there's work being done on that now. We have tried to be appropriately conservative in our assumptions in the plan as it relates to both where the allowed are set as well as where the earned are set. We certainly have assumed that we have the ability to do somewhat better than what we've done in the past through some mechanism, whether it's legislation or the potential for more frequent rate cases in South Carolina. But I'd rather not get into sort of the specific assumption we've made. I think we've tried to be reasonably conservative but appropriately so.
David Paz: Okay. No, that makes sense. And just maybe quickly, the $4-plus billion of new CapEx. Does any of that include any incremental spend on your interest in summer [ 2 or 3 ]?
Steven Ridge: No. No, it doesn't. We've indicated that we're not participating or interested in that project. And I think you meant -- I think you referred to $7 billion total capital increase. But yes, none of that's related to V.C Summer.
Operator: This concludes our question-and-answer session. So I'll turn it back to Bob Blue for closing remarks.
Robert Blue: Thanks, everyone, for taking the time to join the call today, and enjoy the rest of your day.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.